Operator: Good day, ladies and gentlemen, and welcome to the Frontline Limited Q3 2012 Earnings Presentation. For your information, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jens Martin Jensen, CEO. Please go ahead, sir.
Jens Martin Jensen: Thank you. Good morning, good afternoon, and welcome to our Q3 presentation. As you can see from the reported numbers, it was a very difficult quarter with depressed earnings in the crude segments compounded with expensive drydockings and additional off-hire in the quarter and the write-off of a chartering claim, which we do hope we can recover in the months period ahead. We will follow our usual program for the presentation with Inger going through the Q3 highlights and main transactions, financial review of the quarter and the update on our small newbuilding program. After that, I will follow-up with some market comments and what we saw in Q3 and a bit on where the market is at present. So Inger, if you could start, please, thank you.
Inger M. Klemp: Thanks, Jens, and good morning, and good afternoon, ladies and gentlemen. As Jens just said, I will guide you through the highlights and the financial reviews in the third quarter of 2012 and so far then into the fourth quarter. Moving then to Slide 4, highlights and transactions. In August 2012, the company announced that it has agreed with the finance to terminate the long-term charter party for the OBO carrier, Front Climber [ph]. The Ship Finance [indiscernible]. The charter party was terminated on October 15, 2012. The company made a compensation payment to Ship Finance of approximately $3.6 million [ph] for the early termination of the charter. This transaction will reduce the company's obligations on the capital leases by $1.7 million, and the company recorded an impairment loss of $4.2 million in the second quarter for this vessel. In September 2012, the company agreed with Nordic American Tankers that Frontline's 9 Suezmax vessels will leave the Orion Suezmax pool, and that will happen effective at the end of the year and they will take over the Frontline sale of this company, 50% effective January 1, 2013. In October 2012, the company announced that they have agreed with Ship Finance to terminate the long-term charter party for the OBO carrier, Front Driver and the Ship Finance had signified to sold the vessel. The charter party is expected to terminate in late November 2012. Frontline will make a compensation payment to Ship Finance of approximately $0.5 million for the early termination of the charter. The transaction will reduce the company's obligations on the capital leases by approximately $1.1 million, and the company expects to record a loss of approximately $0.1 million. Then moving to Slide 5, financial highlights. I will then do a quick run-through of the financial highlights in the third quarter of 2012. In this slide, you will see the company reported a net loss of $49 million in the third quarter, equivalent to a loss per share of $0.63. And for the 9-month period ended September 30, Frontline announced a net loss of $66.2 million, which is equivalent to a loss per share of $0.85. Frontline will not pay dividends for the third quarter. Then moving to Slide 6, income statement. The net loss in the third quarter of 2012 is about $38 million weaker than in the second quarter of 2012. There are some main reasons for this. The first main reason is that income on contracted basis was about $47 million less in the third quarter than it was in the second quarter. That again was mainly due to a decrease in TCEs per day in this quarter. Also, as Jens mentioned, we had a loss provision of unpaid charter hire of $5.5 million, which was recorded in the third quarter. Secondly, which contributed positively, was a contingent rental expense decrease of about $8 million this quarter compared with the second quarter due to the decrease in TCE per day in the third quarter. Then the ship operating expenses increased by $1.2 million compared with the preceding quarter, mainly due to the increase in earning cost. Then, charter hire expenses decreased by $1.2 million compared with the preceding quarters, primarily as a result of the redelivery of the chartered Indies, the Hampstead in April 2012. Further, the depreciation decreased by $1 million due to the redelivery of Front Drivers in the quarter. And otherwise, there were minor changes to other items this quarter. Then moving to Slide 7. Income on time charter basis. Frontline's double hull VLCC fleet earned $13,300 per day in the third quarter compared with $31,500 per day in the second quarter, and the average for the whole VLCC fleet was about $12,300 per day in this quarter compared with $31,000 per day in the previous quarter. The Suezmax fleet earned in the Orion pool $11,100 per day in the third quarter compared with $17,400 per day in the second quarter. And as a consequence of that similar receipts in [ph] vessels paid outside the pool a somewhat lower TCE rate, we earned on average in the spot market approximately $10,500 per day in this quarter compared with $60,200 per day in the second quarter. This is also the same as the whole Suezmax fleet, the average for the whole Suezmax fleet. Then the OBOs earned $33,700 per day in the third quarter compared with $28,100 per day in the second quarter as a consequence of the lease terminations made. The TCE numbers showed that sometime over this quarter has outperformed our peers in the VLCC segment but the Suezmax segment was disappointing. Then moving to Slide 8, ship operating expenses. We have average OpEx for the fleet of approximately $11,800 per day in the third quarter compared to approximately $11,100 per day in the second quarter. The increase is due to increase in trending cost, while drydocking cost was in line with second quarter. We drydocked 3 VLCCs and 1 Suezmax vessel in the third quarter compared to 5 vessels in total in the second quarter, as you can see them from this graph on the upper right-hand side of the slide. Despite one vessel less drydocked this quarter, the drydocking cost in the third quarter was the same as in the second quarter due to extensive drydocking -- expensive drydocking, sorry. As you can see from the graph on the lower-right-hand side of the slide, off-hire days were 144 in the third quarter, which is in line with 141 days in the second quarter. And we expect to drydock 1 VLCC in the fourth quarter for 2012. Then moving to Slide 9, balance sheet. Total balance sheet in September 30, 2012, is approximately $77 million less than at the end of the second quarter of 2012. The main movements in this quarter have been ordinary depreciation and repayments in the quarter but also the loss that we have of $0.9 million. Moving then to Slide 10, cash cost breakeven. We estimated average cash cost breakeven rates for the remainder of 2012 are approximately $23,400 per day for VLCC, $16,200 per day for Suezmaxes and $12,400 per day for the OBOs. These rates are the daily rates our vessels must to run to cover the budgeted operating cost, the estimated interest expenses, the bareboat hire and the corporate overhead cost. Then moving to Slide 11, newbuilding overview. As of November 28, Frontline's newbuilding program comprised of 2 Suezmax tankers, and the company was permitted to make new building installments of $94.2 million, with expected payments of $60.3 million in 2012 and $87.9 million in 2013. Then moving to Slide 12 and 13, Frontline fleet. The number of vessels in the Frontline fleet as for the end of the third quarter 2012 is 55 vessels, inclusive the vessels on commercial management and ITC vessels. Then it's compounded by 33 -- 35 double hull VLCCs, 2 single hull or double size VLCCs, 15 double hull Suezmaxes and 3 OBOs. We have a contract coverage of 12% in the fourth quarter of 2012 and 11% on average in 2013. The average net TCE rate for the total fleet is about $52,100 per day in 2012 and $52,500 per day in 2013. And with this I leave it over to Jens again.
Jens Martin Jensen: Thank you, Inger. We are now on Slide 14. A lot of negative factors compounded the quarter into quite a horrible, horrible one, main ones being crude imports to China as compared to the stronger first half of the year. Ton mile was reduced, mainly due to reduced volume of westbound crude VLCC cargoes. Both the VLCC and Suezmax fleet grew, not dramatically, but still. And overall, a very bad [ph] sentiment simply made majority of the owners give up and throw in the towel. Slide 15, VLCC's order book. 44 VLCCs has been delivered during the first 9 months of the year, which means that the slippage in the VLCC order book has slowed down. We expect to see deliveries during the balance on the year to increase due to improved market conditions and due to the yards pushing the owners to have the ship delivered within the year. On Slide 16, the Suezmax fleet. We continue to see slippage in the order book but we're still seeing or we're still looking at an 8% to 10% fleet growth for the Suezmax fleet for the year. Slide 17, newbuilding prices and time charter rates. We estimate that newbuilding prices for good specification VLCCs to be in the region of $80 million to $85 million depending on the actual yard. The much-written-about Chinese large order for VLCC is coming to light, and so far up to 10-some vessels having been ordered have reported USD $90 million level, but this figure is including Finance and thus, the actual newbuilding price is hard to ascertain. We expect Suezmax newbuildings are priced in the $55 million range. No recent Suezmax orders has been placed. Positive for the last tanker order book is that the large Korea shipyard still prefer offshore orders, LNG and large container vessels to spend on VLCC and Suezmax orders, and the order book of VLCC Suezmaxes is still relative small for 2014. TCE rates, TCE markets, the 3-year TC rate is around $25,000 per day for VLCCs, and for 3 years, Suezmaxes is in the region of $20,000 per day. Time charter market is very thin, and only depressing spot market level remains in place. We will see an increase activity in the time charter front. Now we are Page 18. Outlook. Generally, the market has improved over the last 2, 3 weeks, and we hope the market can be sustained. Some of the reasons for potentially that are we have seen increased crude movements from the Persian Gulf to the U.S. Gulf area. Some of that is due to the reopening of the Motiva refinery in the USA. We have seen the Chinese revert to normal crude import levels, which is impressive. Tonnage has actually disappeared from trading. We estimate 10 to 15 VLCCs has been sold or otherwise engaged in storage business and will likely not revert to international trading. We expect additional older charter to follow the same path. With virtually no VLCCs open in the west and tonnage being balanced -- and tonnage -- vessels being balance in the in from [ph] straight Asia, this is positive for the ton mile situation. However, in order for long-term fundamentals to change, we need to see more scrapping of vessels and further consolidation in the market. For Frontline ourselves, we have continued our strategy of selling older and non-core fleet. We still have a few more ships to potentially dispose of prior to the year end. As Inger mentioned, we have continued to outperform our peers in the VLCC segments, whereas our Suezmax earnings were disappointing. We hope our new strategy in the Suezmax segment, e.i., not being part of a pull any longer will show positive results in the new year. Interesting times ahead. However, without leadership in the large tanker market, any quick recovery seems difficult. With that, we are able and willing, hopefully, to take your questions. Thank you.
Operator: [Operator Instructions] We will now take our first question from Jonathan Chappell of Evercore Partners.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Jens, I just want to follow up on one of your last comments regarding the Suezmaxes. I know we talked about this last quarter, but how do you plan on operating the Suezmaxes once they're removed from the pool? Will Frontline handle the management itself? And why are you confident that the performance of the Suezmax fleet could be better outside of the pool after what you've coined as a couple of quarters of disappointing results?
Jens Martin Jensen: Well, unfortunately, we have seen that being part of the pool, of a larger pool in the Suezmax has actually not proven to be fruitful. So now we will try and scale down and -- I wouldn't say go back to basics, but go back to what we have been doing on the VLCCs and the trending gap, the more closer relationship with some of the customers we have there, and then -- that is our strategy. It's not dramatically changed, but then we believe that could potentially be better for us.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. A couple of fleet questions. I know that the Ticen Ocean and Ticen Aries are being redelivered in November and January. After that, how many vessels will you have chartered-in for next year?
Jens Martin Jensen: Chartered-in or chartered out?
Jonathan B. Chappell - Evercore Partners Inc., Research Division: How many will you have chartered-in?
Jens Martin Jensen: Right now, we have 2 time charters coming in. One will be delivered end of the end, and the other one will be delivered in April next year. Of course, the 2 single hull ships you have mentioned, we have bareboat out which has terminated, and those ships have been sold and will be delivered as we speak now, and the next one would be delivered in January.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. So in addition to your own fleet, you only have 2 vessels that are chartered-in.
Jens Martin Jensen: That is right.
Erik Nikolai Stavseth - Arctic Securities ASA, Research Division: Okay. And then finally for Inger, you made a mention when you're going through the financial highlights of a loss provision, I think it's $5.8 million, and I thought you said that was in the third quarter of 2012. Can you explain a little bit about that provision?
Inger M. Klemp: Are you asking Jens or me?
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Either one.
Inger M. Klemp: Either one. Well there's not much to explain, in a way. It's a loss provision we have taken in the quarter of $5.5 million was the number, not $5.8 million. For loss on charter also hires from charters is also -- there's nothing more to say about that than what I've already said.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: So basically if charter walked away from a contract that's above market, you need to mark that asset down to market levels?
Jens Martin Jensen: The charter was terminated. Yes, yes. And of course, we hope to recover the outstandings.
Inger M. Klemp: But the fleet in unproved provision [ph] but we hope to recover it.
Operator: We will now move to our next question from Herman Hildan of RS Platou Markets.
Herman Hildan - RS Platou Markets AS, Research Division: The first question I have is on the picture on Page 11 of the Suezmax newbuilding. Is that the recent picture?
Inger M. Klemp: No, just a moment.
Jens Martin Jensen: No, it's not. It's not. It was the only one we had. You can see it's almost a clear day in China on that picture. It's not a recent one, no.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. My second question is with respect to your remaining CapEx. I think at the end of Q2, you said you had $112.4 million remaining and now you're saying a bit more than $94 million, which means that you've basically reduced your remaining CapEx by $18.2 million, and you only paid about $0.5 million in the quarter. So could you shed some light on whether you renegotiated, call it Suezmax newbuilding prices, or what kind of is behind that decrease?
Jens Martin Jensen: We have forced paid some money down installments during the period, and that's why we had the $94.2 million remaining. I think that's all we can say right now.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. So there's no change in, call it, construction price or delivery time or anything? You still expect to get the vessel in February, 2013?
Jens Martin Jensen: Well probably, it'll be a little later. We expect to get the first ship second quarter next year and the last one in the third quarter next year.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. But do you see a risk that it would take more than 7 months before those, call it, with respect to your initial delivery time, then, before these vessels are completed?
Jens Martin Jensen: No. I don't think that will happen. I don't see that possibility.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. So you expect to take delivery of the vessels?
Jens Martin Jensen: Yes.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. And my final question on the Orion pool. Could you explain a bit more what you mean by flexibility in terms of the reason why you, call it, exited the pool?
Jens Martin Jensen: Well I think, first, we were part of the Gemini pool with 50 ships, and we went out of that, scaled down to a smaller pool with 29 ships, and we have seen that we are not getting the full effect out of a fleet size like that. So now we have taken the steps that we will try and run the Suezmaxes more in closer cooperation with our VLCCs and try and -- we can do more synergies with some of the customers in both segments, and we have done that before, before we went into the Gemini pool, and we will go back to that, as I say, back to basics again on the Suezmaxes.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. And just one more question on the newbuildings. The, call it, the situation room [indiscernible] has it impacted anything with respect to, call it, the progress of the newbuildings?
Jens Martin Jensen: I think many shipyards right now are facing difficulties, of course, with the less amount of orders being obtained and delays and other problems, both China and Korea. So of course, I think all shipyards and ship owners are suffering right now. So it's a difficult world, a different world now than it was 2 and 3 years ago.
Operator: We'll now take a question from Joshua Katzeff from Deutsche Bank.
Joshua Katzeff - Deutsche Bank AG, Research Division: I just want to clarify, I guess, one of the previous questions. So there's been no change to the contract price of the Suezmaxes? And you don't expect to renegotiate prices prior to delivery?
Jens Martin Jensen: Well, as I mentioned, the ships will be delivered,, we estimate, second and third quarter next year, which is, of course, a little bit behind the original contractual delivery date, sorry. And we are discussing with this shipyard right now, and I think as of today, that's probably the only thing we can say right now.
Joshua Katzeff - Deutsche Bank AG, Research Division: Got it. I guess with regard to the, call it, OBO, Orion and the sell to Nordic American Tankers of your interest, I mean, are you looking at actually taking in any significant dollars here from the sale of your stake, or...
Jens Martin Jensen: No, unfortunately not. That would have been great. But it's a smaller -- it's a small token.
Joshua Katzeff - Deutsche Bank AG, Research Division: I guess, operationally, OpEx increased a little bit. Can you maybe talk about some of the drivers of this? Was this lubes or insurance accrue?
Jens Martin Jensen: No, I think the main issue in the third quarter was we actually only docked 4 ships as opposed to 5 in the second quarter but the dockings were quite expensive and expensive dockings, and that's of course had a spillover on the total operating cost in the quarter. Otherwise, we are pretty much in line on the various of items, and it was mainly a docking and repair, docking preparation, which spilled over in the quarter.
Joshua Katzeff - Deutsche Bank AG, Research Division: And then Jens, you made the comment about VLCCs increasingly doing storage contracts. I just want to clarify, is this just older ships, some of the first-generation double hulls and maybe the remaining single hulls? Or are we seeing new ships enter into actual storage contracts?
Jens Martin Jensen: No, this is the older ships, the first generation, the ships built between '93 and '99. You have seen them been sold to owners, buyers, who will not use them as trading. So it's the first generation of the double hull ships.
Operator: Our next question comes from Fotis Giannakoulis from Morgan Stanley.
Fotis Giannakoulis - Morgan Stanley, Research Division: I would like to ask you about the market. You mentioned and we have seen the rates, the VLCC rates in the fourth quarter improving to around $23,000 to $25,000. You mentioned that potentially, there might be a further increase in the market with the Motiva refinery coming back. What other drivers do you expect that could be helpful for the crew tanker market? And what would be a reasonable expectation for VLCC and Suezmax rates for 2013?
Jens Martin Jensen: Well, what we have seen in the last 2 or 3, 4 weeks is increased activity, which I mentioned is, of course, China's crude oil importers risen again, and we have seen a much bigger program from AG West, and we have also seen active Caribs with African market going east. That's been the main drivers. Unfortunately from the markets, let's say peaking a little bit before Thanksgiving last week, then the market was flat for 4 days, and then some ship owners though this was the end of the world. And the rates have actually softened a little bit in the last few days. But we believe that the current situation is much more tight, and we hope that the market can be sustained at these levels and actually improve a little bit over the next 1 or 2 weeks before the Christmas rush. Difficult to predict rates for 2013. We don't normally do that but I can only hope that it will be better than 2012.
Fotis Giannakoulis - Morgan Stanley, Research Division: And you mentioned in the previous calls that there is a oversupply of something like 50 VLCCs, and if they were to be scrapped, the market will be closer to balance. Given how the market has developed with a number of vessels that can be scrapped over the last 6 months, how many ships do you estimate that is the current oversupply in the market?
Jens Martin Jensen: It's probably around 50 still. With the new ships being delivered, maybe 50 to 60 ships. I think if you can take that out of the market, we will definitely see an improvement.
Fotis Giannakoulis - Morgan Stanley, Research Division: And my last question. Right now, Frontline is having a hard time under the current market conditions together with all other companies, but at the same time, it has a positive equity here and a good market cap but an aging fleet. How many ships do you expect that you will have sold or scrapped during the next 12 months? And how do you see Frontline going forward when this current crisis comes to an end?
Jens Martin Jensen: I think it's both good and bad in the market right now to have an older and aging fleet, meaning not so expensive on our books. I think in terms of fleet disposals redelivery, that will probably be -- it could be up to 10 ships. It's difficult to say, but definitely the OBOs, of course, the single hull VLCCs has been sold, and then maybe some of the older Suezmaxes will go out of the fleet. The 2 time charter ships we have will be redelivered end of December and in April next year. So it's difficult to say exactly, but potentially up to 10 ships will be leaving the fleet during the next 12 months.
Fotis Giannakoulis - Morgan Stanley, Research Division: And can you make a comment on how you see your growth after that, after the disposal of these vessels and as we come closer to the recovery?
Jens Martin Jensen: Of course, we all are following the market situation closely. I don't think there's any rush to buy ships today or charter-in, and then of course it's important to monitor the market, and when we see things bottoming out and there's potentially more optimism, then, of course, that is the time to start looking to reenter the market again.
Fotis Giannakoulis - Morgan Stanley, Research Division: Is there a path, for example, in your equity offering to raise capital in order to fund these acquisitions? How do you foresee that given the current cash flow of the fleet?
Jens Martin Jensen: I think we are, of course, we are all depending on the market development and see how the market develops. That's of course the main focus right now, and we try and slim down the fleet and weather the storm, and then we will see how the market develops.
Operator: [Operator Instructions] We will now take our next question from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Most of my questions have been answered, but I do -- wanted to come back to the cost side. And your OpEx was up quarter-over-quarter, but your breakeven levels actually came down quite a bit sequentially from Q2, about $500 on the Vs and $1,400 on the Suezmaxes. Can you talk a little bit about what drove that and the different inputs there? I'm assuming there's some charter roll-off embedded within those numbers. If you could just give a little bit of color in terms of what's bringing down your breakeven levels.
Inger M. Klemp: The breakeven rates that we give every quarter is for the future anyway, for the remaining part of the year. So that is for the fourth quarter, and as I just mentioned, we had the V -- for instance, we have 3 VLCCs which were drydocked in the third quarter, while we now estimate just 1 VLCC to be drydocked in the fourth quarter. So that drives, of course, the breakeven rate as they come down. That's actually the main part which drives the drydocking cost [indiscernible] one of breakeven rates from changing from quarter to a quarter.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Okay. All right, no, that's helpful. You guys gave color on I think you have one vessel drydocked for Q4. Do you have any idea what you're looking at for 2013 from a drydock perspective?
Jens Martin Jensen: No, of course, we are illumined [ph] right now. We know, of course, we have scheduled drydocking, which goes with the age and when the various service are due. But of course, in a market like this, if we have quarters where the market is very bad, sometimes we accelerate dockings. We move dockings in a little bit earlier. So it depends both on, I would say, of course, the scheduled drydockings, and then we're looking to potentially move things around, but that depends on the market.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Okay. So it's a little bit too early to give any color there.
Jens Martin Jensen: Yes.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Okay. And then just finally. I kind of wanted to come back to one of Fotis' questions and maybe kind of come at it a bit of a different way. I mean, you guys are -- you're trading well above NAV, which is probably negative. The market -- you expect the market to roll back over after any degree of seasonal strength, and you certainly still have a debt load. I guess what's the rationale for not looking at an equity raise here, aside from maybe market timing? I mean, what really gets in your way, considering what you guys are looking at over the next couple of years and the premium you guys are getting to your net asset value here?
Inger M. Klemp: I guess just looking into equity raising or let's say debt raising, whatever you are looking into, or capital raising, we usually do that if you -- it's something you need to finance, in a way. So I guess, like we always say on these or respond to these type of questions, I mean, we will of course consider different financing alternatives if we have something to finance. So, so, yes.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Right. I mean, I think the $1.4 billion in long-term liability is what we're kind of getting at, but -- okay, no, that's fair.
Operator: Your next question comes from Erik Stavseth of Arctic Securities.
Erik Nikolai Stavseth - Arctic Securities ASA, Research Division: Just one quick question regarding your OBO fleet. I mean, it's shrinking of course, but you say that you have an average TCE rate of $64,400, but your earnings is -- on the OBOs is only $33,700. And I realized that there are some lease termination implications there, but does this imply that at least some of the vessels are not operating at all?
Jens Martin Jensen: Well, of course, you saw what we reported, the OBO earnings in the quarter, which was $33,700 and then I guess you're looking at the coverage slide going forward. Of course, the lower rates is a mix of ships on high rates, and then we have ships on actually quite low rates. The ships on the low rates have been redelivered and sold progressively, and then we will only end up with 2 vessels at a higher rate in 2000 and -- that's the reason for -- let's say, the spike in rates. You can see there's only 2 ships in the next year.
Erik Nikolai Stavseth - Arctic Securities ASA, Research Division: Right, right. But there is no -- you don't do the payment that you do to Ship Finance as part of reducing the rate, right? This is pure market related?
Inger M. Klemp: Just to add one comment to what Jens said, I mean, these rates that we are giving on this slide, #13, which you are referring to, these are not the average rates that we earn on the OBO fleet, but they are the rates that you earn on the covered vessels, of the vessels which are on contract.
Erik Nikolai Stavseth - Arctic Securities ASA, Research Division: I understand, but the implication to me seems to be that you have negative earnings on what's not on charter. But I was just curious as to how that came out. But I think I understand it.
Operator: Our next question comes from George Berman of J.P. Turner & Co.
George Berman: I have a quick question. In the past, we had noticed, you mentioned that you have repurchased some of your convertible debt trading in the market. Have you done anymore purchasing back those debentures at a significant discount yet?
Inger M. Klemp: We would have to announce if we do that. So the answer's no.
George Berman: Okay. But you did buy, I believe, about $10 million back, correct?
Inger M. Klemp: That is correct.
Operator: We will now take a question from Glenn Lodden of Sparebank 1 Markets.
Glenn Lodden - Sparebank 1 Markets AS, Research Division: Can you just give us a quick update on the financing situation on your Suezmax newbuildings?
Inger M. Klemp: We have not established any financing yet for these newbuildings. So there's not much to report on that, but of course, we will do that closer to the delivery of the vessels.
Glenn Lodden - Sparebank 1 Markets AS, Research Division: Could you just put some color on how you regard -- how difficult where you see this to get financing for crude tankers at the moment and also what kind of levels we're looking at?
Inger M. Klemp: I think the trend, in a way, is probably that the banks are looking for a bit less leverage than they used to do. But I still think that since we're talking about -- if you are talking about leverage compared to the market values, which also are down. So I think we -- you still can be able to attract as much as up to 70% of newbuildings that you take delivery of. But you can also, of course, end up with lower than that. So it's really depending upon what market value you are leveraging it with, in a way, what kind of value you're putting on it, with the percentage, I mean. But otherwise, I guess, the terms are, as you know, the margins are a bit increasing than it used to be, and, yes, that sort of thing.
Operator: [Operator Instructions] We will now take our next question from David Beard of Iberia.
David E. Beard - Iberia Capital Partners, Research Division: Just 2 questions on your fleet development, Slides 15 and 16. It seems the forecast is for much fewer ships to come out about the VLCC and the Suezmax fleet, and I wondered just what thoughts were behind fewer ships being removed next year given the tepid outlook for the industry.
Jens Martin Jensen: Of course, this is our estimation of ships that will be scrapped or disappear from the trading. It could, of course, if this market continues and persisted, of course, I think we will see more scrappings or removals from the fleet. But this is our, let's say, estimate that we have put in there. And of course, the we have seen delays in both order books, both the VLCCs and the Suezmax markets, and of course, you can see as we move forward to 2014, we are finally coming into a more manageable deliveries and then -- I guess that's the positive thing, but we have still 2 years ahead from now.
Operator: Our next question comes from Ole Stenhagen from SEB.
Ole G. Stenhagen - SEB Enskilda, Research Division: I'm sorry, this may be a repeat for some people. I came in late. But on Slide #11 regarding your newbuildings, there's a wonderful picture of a large vessel being built. Is that your ship and is it on schedule? Do you expect these vessels to be delivered on time and on specification?
Jens Martin Jensen: This is not a fresh picture, but the only one we could actually find in our extensive picture library from Rongsheng trivia [ph]. It's not our ship either, so very well-spotted. As we have mentioned, the ship seems to be delivered second and third quarter next year, which is slightly behind the contractual delivery dates.
Ole G. Stenhagen - SEB Enskilda, Research Division: But they're within the counseling.
Jens Martin Jensen: Yes, they are within that.
Operator: We have no further questions at this time.
Jens Martin Jensen: Well then, I would like to say thank you for everybody for dialing in. And I would like to thank everybody in Frontline for their work and efforts during a very difficult third quarter of the year, and thank you.
Operator: Ladies and gentlemen, this will conclude today's conference call. Thank you for your participation. You may now disconnect.